Operator: Thank you. Good morning and thank you for calling in to review MICT’s Third Quarter 2020 Results. Management will provide an overview of the results. Importantly, there is a slide presentation which management will use during their overview. This presentation can be found on the Investor Relations section of the company’s website, www.mict-inc.com, under Events and Presentations. I will now take a brief moment to read the Safe Harbor statement. During the course of this call, management will express certain implied forward-looking statements within the Private Securities Litigation Reform Act of 1995 and other U.S. federal securities laws. These forward-looking statements include, but are not limited to those statements regarding our growth opportunities, whether organic growth or strategic acquisitions, future business and financial results relating to timing of and revenues and margins achieved in the Fintec business, the potential size and demands in the markets in which we operate and Micronet's future ability to generate its revenues based on currents leads and pilots.
Darren Mercer: Thank you, good morning everyone. We are very pleased on the completion of the acquisition of 100% of Global Fintech Holding Intermediate, or GFHI, giving us ownership of the platforms, technology and businesses that GFHI has built in the global fintech space, with the initial focus on China’s burgeoning fintech market. We closed on $15 million in funding tied to GFHI acquisition. In November, we closed on an additional $25 million through a registered direct offering. Our current significant cash balance enables the Company to accelerate its immediate and significant growth opportunities in both the insurance and stock trading divisions. We’ve recruited top class operational and management teams for both our insurance and stock trading divisions and make significant progress in our strategy of leveraging our technology and platforms, combining anticipated organic growth of our business along with strategic acquisitions. Turning now to Slide 4, we will review the developments in our insurance business. We are launching our online insurance platform in December of 2020 through a signed agreement with a high achieving management team assembled from China's largest insurance companies. This large team of industry leading professionals including the CEO, COO, CTO each of whom have 10 to 20 years experience delivering significant revenues at very profitable insurance businesses in China.
Arie Rand: Thank you, Darren, and good morning everyone. The next slide illustrates the revenues for the three and nine months ended September 30, 2020 as compared to the same period in 2019. As a reminder, MICT’s financial results for the nine months ended September 30, 2019 reflect Micronet, Ltd. revenues for the months of January 2019 and February 2019 only. Revenues were $349,000 in third quarter 2020 as compared to $0 in the third quarter 2019. Revenues for nine months ended September 30, 2020 were $349,000 compared to $477,000 in the same period of 2019. Slide 9 provides a more detailed breakdown of the third quarter and nine months ended September 30, 2020 as compared to the 2019 numbers. Total operating expenses in the third quarter 2020 were $6 million as compared to $501,000 in the third quarter of 2019. Loss from operations was $6 million in the third quarter 2020 as compared to a loss from operation of $501,000 in the third quarter of 2019. Net loss attributable to MICT in the third quarter of 2020 was $14.2 million or $0.61 per basic and diluted share, as compared to a net loss of $1.2 million or $0.11 per basic and diluted share in the third quarter of 2019.
Darren Mercer: I’d like to thank our shareholders who overwhelmingly approved our plan to acquire GFHI and enter the fintech market through their proxy votes. The acquisition and funding positions MICT to get to market quickly with our insurance and stock trading platforms. While our revenues in the third quarter represent only our telematics operations, we expect to book revenues from our global fintech business before year-end. Significant cash on our balance sheet coupled with the immediate business opportunities at hand position MICT to make rapid progress from the end of this year into next year and beyond. Thank you for getting on the call everybody. Have a good day.
Operator: Thank you. This concludes MICT Inc third quarter 2020 results conference call. Thank you for your participation. You may go ahead and disconnect.
Q - :